Operator: Good afternoon and welcome to Usio Earnings Conference Call for the First Quarter ended March 31st, 2021. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A replay will be available shortly after the end of the call through May 28th, 2021. I would now like to turn the conference over to Joe Hassett, Investor Relations. Please go ahead.
Joseph Hassett: Thanks Matt and thank you everyone for participating today. Welcome to Usio's first quarter 2021 financial results conference call. The earnings release, which Usio issued yesterday after market close, is available on the company's Investor Relations website at usio.com/investors under News. On this call today are Louis Hoch, President and CEO; Greg Carter, Senior Vice President of Payment Facilitation; Tom Jewell, Senior Vice President and Chief Financial Officer; and Houston Frost, Senior Vice President of Business Development and Prepaid Products. Management will provide prepared remarks and then we will open the call to your questions. Before we begin, please remember that comments on today's call include forward-looking statements. Forward-looking statements can be identified by the use of such words as estimate, anticipate, expect, believe, intend, may, will, should, seek, approximate, or plan or the negative of these words and other similar words and phrases. Forward-looking statements, by their nature, involve estimates, projections, goals, forecasts, and assumptions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements, including risks related to the COVID-19 pandemic and its effect on the economy, the realization, and the opportunities from the IMS acquisition; management of the company's growth; the loss of key resellers; the relationships with the Automated Clearing House Network, bank sponsors, third-party card processing providers, and merchants; the volatility of stock price; the loss of key personnel; growing competition in the electronic commerce market; the security of the company's software, hardware, and information; compliance with complex federal, state and local laws and regulations and other risks detailed in the company's filings with the SEC. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. Usio expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made today to reflect any change in Usio's expectations with regard thereto or any other changes in the events, conditions, or circumstances on which any such statement is based, except as required by law. Please refer to the company's SEC filings on its Investor Relations website for additional information. With that, I would now like to turn the call over to Louis. Louis?
Louis Hoch: Thank you, Joe, and welcome everyone. The first quarter was another record quarter with record processing volumes and record revenue growth. After four consecutive years of revenue growth and a strong recovery over the second half of last year, we are pleased that we have carried that momentum into the New Year. Revenues were up 73% to $13.5 million with strong growth in all of our business lines. We achieved record transaction processing volumes in the quarter, with total dollars processed nearly $1.9 billion, an increase of 113% from a year ago. And more importantly, more than doubled the processing volume of any prior quarter in the company's history. This led to a 15% increase in Card revenue, a 38% increase in ACH revenue and a 61% increase in prepaid services. In addition, our first full quarter of ownership of IMS, which we have rebranded Usio Output Solutions contributed revenue for the first three months of the year that exceeded our acquisition assumptions. Consequently, the second consecutive quarter, we reported positive adjusted EBITDA. Without question, we experienced an outstanding growth quarter across all of our business lines, including the bottom-line. We believe these results clearly demonstrate that our growth trajectory has inflected. Once again, we attribute our success to our strategy to offer growing -- to the growing electronics payment market, a diverse portfolio of payment channel solutions, including ACH, prepaid card processing, and now output solutions. To improve transparency, we provide business line revenue reporting, so let me offer some high level comments by business lines. I'm particularly pleased with ACH which had its best quarter ever after battling through a year of coronavirus-induced headwinds. There is no other way to describe it other than as remarkable growth. The strategic actions we initiated as these headwinds arose have resulted in a broader portfolio products, serving more diverse end markets that provides an even stronger, more dynamic foundation for future growth. One of our early actions that is now contributing significantly to our growth is our foresight in recognizing the potential of the crypto currency market when it was in its infancy. The growth in volumes in this market are now exploding. In part due to our success in this market, ACH is on pace for a record year and remains our most profitable business line. In addition, we're seeing strong growth from new products such as pin-less debit and account [requiring] (ph). ACH is off to a great start in the second quarter, with no current signs of any let up from the first quarter's momentum, which could lead to another record quarter for ACH volumes and associated revenues. Our Card business also had a breakout quarter where momentum is picking up. Dollars processed were up 30%, while transactions processed were more than doubled. We've consistently been investing in our PayFac platform as a strategy to accelerate growth and we're now experiencing a rapid adoption of this technology by many integrated software vendors with whom we've been partnering. Greg will review our performance in more detail, but I believe we've reached an inflection point in our Card business. The pace of ISVs implementing our technology is on the rise. And we have become a leader in certain industries such as software for bankruptcy attorneys and we're getting larger deals, such as our first ever potentially $100 million plus per year ISV. There is no question that we have so much momentum that we should see sequential improvement over the balance of this year. Like ACH, our Card business is off to a great start in the second quarter and is likely to achieve another quarter of record volumes and revenues. After doubling in fiscal 2020, prepaid load volume doubled again in the first quarter driving a 61% increase in revenues. As Houston will discuss in a minute, our Prepaid business is now branching out within many government, municipal, and other similar organizations that originally turned to us for prepaid solutions for their COVID relief programs. The strong relationships we've built with these nearly 100 organizations under these programs are leading to a wealth of new opportunities within the organization to grow our prepaid solutions. I'm very pleased with the growth of prepaid over the past year, and I believe 2021 to be another year of rapid growth. As I briefly mentioned, after just four months, as part of the Usio family, Output Solution is already exceeding our expectations. I attribute this to the smooth integration into the Usio family where we experienced no disruption in operations and created numerous synergies. I remain optimistic Output Solutions will be accretive to our 2021 earnings as contemplated in our original acquisition expectations. We ended the quarter in solid financial condition with only a modest use of cash to support the nearly doubling of our business and with the expectation to be cash flow by the end of the year; we believe we are more than sufficiently funded to support our growth initiatives over the next 12 months. With a solid first quarter in the book, we have now generated steady if not even more recent spectacular sequential improvement in our performance for nearly two years and with the exception of last year's COVID influenced second quarter. Already the second quarter of 2021 is shaping up to be another strong quarter. As of yesterday, the midpoint for the second quarter, we've already processed over $1.4 billion in volume, that’s nearly 75% of the quarterly record $1.9 billion we processed in the entire first quarter, which in itself was twice that of our previous record. Furthermore, on a year-to-date basis, we're nearly at the same level as for all of 2020 with seven months left in the year. That's impressive progress. As for guidance, we're obviously experiencing a growth rate that demonstrates our previous estimate of $50 million in revenue for 2021 should be exceeded and as a result, we have exceeded our internal projections. This acceleration is so dramatic that we're refining our internal projections almost daily. Soon we'll provide more clarity, but we're forecasting a revenue range of $53 million to $56 million for 2021 with being adjusted EBITDA positive and the range being contingent on continued improvement in overall economy, continued excitement in the crypto currency marketplace, and the recovery of the consumer lending industry. Finally, I'd like to remind everyone that we will be hosting our Annual Shareholder Meeting on June 10th. The meeting will be held in person and virtually to allow for ease of participation. With that, I'd like to now conclude my opening remarks and turn the call over to Houston Frost, our Senior Vice President of Prepaid Services.
Houston Frost: Thank you, Louis and thank you to everyone participating in the call this morning. As Louis mentioned, the Prepaid business is off to a solid start this year, with another quarter better than 100% growth in load volume as compared to the same period last year. Prepaid card transaction volume growth was also strong, up 89%, leading to a 61% increase in first quarter prepaid card revenues. We are continuing to see a shift in program activity with our non-profit and government clients moving from dispersing COVID relief funds to issuing cards for a variety of other civic and community-related programs. Some example of these include guaranteed income programs like the Compton Pledge and Humanity Forward, a variety of programs for domestic workers with the National Domestic Workers Alliance, transportation stipends, and other support for job placement programs in various cities, and the Cash for Trash program in San Jose, California, which helps provide support to the homeless population for keeping the city clean. We've also had the opportunity to compete for some state-administered programs which have the potential to be substantially larger than many of the county and municipal programs we've supported in the past. In virtually all cases, these new programs are longer term and have potentially significant larger volumes. Our involvement with the COVID relief related programs administered by over 100 community civic, social, non-profit and governmental organizations have been the foundation of our recent strength. In the process, we build strong relationships with these organizations through exceptional attention to service and expediency and delivering a product that meets the needs of our clients. On previous calls, you've heard me emphasize the significance of our relationships. Nowhere is this more evident than in the introductions and recommendations offered by our current clients to similar organizations and related agencies that are in need of a card solution to disburse funds. For 2021, we expect another strong year. While our revenue was lower in the first quarter as compared to the final quarter of 2020, this was primarily due to a large card order delivered in December. We have anticipated there being a cooling off period as COVID-related programs wound down and new disbursement programs ramped up. However, we continue to win new business and we expect to see sequential revenue grow from this point forward. These revenue increases will be driven not only by new business and new disbursement programs, but also from the recognition of revenue that is still expected from the cards issued in 2020. Beginning in late Q2 and Q3 of this year, we recognize revenue from breakage and dormant accounts. All in all, we are excited about the continued prospects of our prepaid card issuance line of business and expect continued growth in 2021. With that, I'd like to conclude my remarks and turn the call over to Tom Jewell, our Senior Vice President and Chief Financial Officer to discuss financial results in greater detail.
Tom Jewell: Thanks Houston and welcome, everyone. Thanks for joining our call today and your interest in Usio. I'm going to provide a brief review of our first quarter financial results before turning the call over to Greg. As mentioned revenues for the quarter ended March 31st, 2021 were $13.5 million, an increase of 73% compared to the same period last year. That's a meaningful acceleration in our growth rate from 27% in the last quarter, reflecting both organic growth and a full quarter of Output Solutions revenues. Our organic growth rate was also impressive at 25%. Revenue growth was led by prepaid, which was up 61% in the quarter on a nearly doubling in card loan volumes. In ACH, complimentary service revenues were up a strong 38% after decreasing throughout much of 2020 due to the significant impact of COVID on the non-bank consumer lending market. Revenues in our credit card line were up, increasing 15% from a year ago on strong growth in both volume and transactions process, especially in PayFac where revenues were up 40%. In addition, the December 2020 acquisition of Output Solutions contributed $3.8 million of revenues in the quarter. Gross profits in the quarter increased 51% to $2.9 million, although gross margins of 21.6% were down from the same period in the year ago quarter, but in line with our expectations as discussed in the last quarters call, where we indicated that gross margins for the year would likely be in the low 20% range. Output Solutions' gross margins came in as expected, which are below our consolidated margin. For the quarter, total other selling, general, and administrative costs were up 25% from the year ago quarter, reflecting the incremental cost of Output Solutions overhead and our continued investments in prepaid and PayFac growth initiatives. We expect modest increase in other SG&A expenses over the balance of the year in support of our significant growth initiatives and to maintain our high service levels. Operating loss in the first quarter was approximately $700,000, an improvement of $150,000 from a year ago. Adjusted EBITDA was positive $247,000 in the quarter, nearly $400,000 improvement over the first quarter of 2020. This is our second consecutive quarter of positive adjusted EBITDA. For the quarter, we reported a loss of $720,000 or $0.04 per share compared to a loss of $857,000 or $0.06 per share a year ago. The company remains in strong financial position, cash and cash equivalents at March 31st, 2021 totaled $4.3 million, down from the year end, which was primarily attributable to the timing of accounts receivable collections. During the quarter, we also took out a small equipment loan to finance a new posted sorter at Output Solutions. We believe we have the liquidity and financial strength to support continued investment in our growth initiatives to fund operations and to undertake selective accretive acquisitions consistent with our growth strategy. We have seen steady increases in our revenues and growth over the last three quarters since the onset of the global pandemic. As Louis mentioned, we are already expecting strong growth again in the second quarter. This should enable us to sell-fund operations and our growth initiatives in 2021. At this time, I'd like to turn the call over to Greg. Greg?
Greg Carter: Thank you, Tom and good morning everyone. It was another record quarter for the Card segments. Total dollars processed were up 30%, which is a significant sequential acceleration from growth of 17% in the preceding fourth quarter. We also generated a doubling in transactions processed, arguably the exponential rate I discussed last quarter, which led to a 15% increase in revenues. These key metrics illustrate how the growth of our Card business has inflected and is now accelerating. I attribute our success to our unwavering commitment to our strategy of galvanizing our infrastructure and implementing new processes and procedures to improve productivity and efficiency. The end result is an increase in our conversion rates and I'm glad to report that remains on the rise. Compared to June of last year, the proportion of boarded ISVs that are now processing on our platform has almost tripled. One of the drivers behind these improvements is a new tool we introduced that illustrates the number of ISVs merchants that are processing compared to the total number of merchants boarded. ISVs can get highly motivated when they see how much money they're leaving on the table, but by not pursuing better merchant penetration strategies. And we can help them with those strategies and provide resources that have a proven track record of improving these rates with little effort on their part. This is one of my highest priorities and I'm committed to sustaining and improving conversion rates, not just with existing ISVs, but also assuring the new ISVs that leverage our PayFac platform and initiate their processing at the earliest possible opportunity. There's a long runway here and just the ISVs with whom we are presently engaged, we estimate there are billions of dollars in electronic payments being processed outside of Usio and we are continuing to add new ISVs to the Usio platform. As Louis briefly mentioned, we are finding more upstream opportunities with larger ISVs who value our technology. We have signed agreements with ISVs that process in excess of $100 million per year. Our pipeline is very active as both our recent marketing initiatives and expanded sales organization are generating opportunities in both traditional and new markets. For instance, while we've been involved in the market before, there's been a renewed interest -- increase in interest from the ministry and non-profit verticals. Output Solutions has also provided entrée into some of their clients and the recently established franchise vertical is already having tremendous success. The key remains to keep our eye on the ball. As an example of the success of this simple strategy, we've had record growth in the legacy portfolio by providing unparalleled service to the point where there's virtually no attrition. Now, with the worst of COVID behind them, this portfolio of merchants is growing again, which is one of our three growth channels, in addition to new ISVs and increased portfolio penetration. This is a simple and natural path to growth. There's nothing fancy to it. It's a complete service mentality that we believe is sorely lacking in our industry. I've made this point of emphasis a sentiment I've shared with you on previous calls. As the economy recovers, we expect many of our clients to experience strong processing volume growth. With vehicle traffic down, our parking garage clients have suffered. And with bankruptcies at historic lows, these attorneys have also been impacted by COVID. Now that things are returning to normal, it is entirely possible these PayFac clients will be generating very strong processing growth. Before concluding, I want to remind everyone that while we certainly feel good about our position, we recognize the COVID risk. Clearly growth in the Card segment has inflected as a result of our tireless efforts to implement our discipline strategy. We see even better times ahead; momentum continues to build in success beget success. Fiscal 2021 is shaping up to be a record year for the Card segment and the foundation for even greater success in the future. That concludes our prepared remarks for today. So, we'd now like to open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Barry Sine with Spartan Capital Securities. Please go ahead.
Barry Sine: Hey, good morning, gentlemen and congratulations on the strong results. A couple questions if you don't mind. First of all, your new business, the Output Solutions, could you give us an update on kind of the synergies there? It's my understanding the synergies can flow both ways you can sell their services to legacy Usio customers and vice versa. And I understand -- correct me if I'm wrong, that business wasn't growing all that fast as it was in a sale process, but it seems like you've reaccelerated the growth of that business.
Louis Hoch: So, we're going to see growth occur from that business in three ways. First, we've increased their sales force to be more aggressive about them just selling the products that they have had before at Usio and they've been doing a good job at that. Secondly, we're definitely selling print into our customer base. We have a lot of municipalities, a lot of lenders, mortgage customers that requires [state meeting] (ph), that require regulatory notices, and they're already outsourcing it to somebody else. And they value their payment relationship more than they do that that print. So, we're able to grab that print volume away from their existing suppliers and that's been great for us. Furthermore, we're getting quite a bit of introductions into the existing IMS customers utilities to provide payment services as well. Overall, the acquisition IMS is really exceeding our expectations and to the point where we had to buy a new machine so -- to sort more mail. So, if you remember, we print so much mail that the Postal Service actually has what's called the detached unit inside our offices where Postal employees come to our offices. They have their own office inside our office and they actually accept mail for the Postal Service right there in our office.
Barry Sine: Okay. And a question for Greg. Obviously, great momentum continuing in PayFac, I wonder if you could expand a bit on some of your comments. I try to write everything down; maybe I missed some of this. But it -- obviously, you have relatively low penetration of customers you've already won. You've won them, but they're not processing and I think you said that that percentage though while low has tripled from the year ago period. Could you elaborate on that?
Greg Carter: Sure. And that's really the -- that's the Holy Grail on the PayFac model is to get that conversion rate as high as possible. So, when a ISV comes on board, and they have a subscription base of 100 to 1000 actual software subscribers, it's getting those to convert to the payment is really where we're focusing on. And as I said, we've tripled that because that conversion rate percentage a year ago, before we had some infrastructure in place was in the 20s, which now exceeding close to 50%. So, it's actually the numbers at 47% of be specific, but -- so we're improving that day-in and day-out. And we've got dedicated individuals that spend time with the ISVs to help them with webinars, with email campaigns, with direct sales efforts to that subscriber base. So, a big area of focus, in addition or in parallel with our traditional sales operation.
Barry Sine: Okay, that's great, Greg. Thank you. My last question maybe for Louis is kind of a macro question. Obviously, you've benefited significantly from government programs during the course of that pandemic and you're increasing penetration into that sector. If you look at what's come out of Washington, we've had a stimulus bill that's already passed and an infrastructure bill that's been proposed. If you look at those bills coming out of Washington, is there -- are there any goodies in there for Usio that you think will drive accelerated business? And if so, what are they?
Louis Hoch: You're going to make me sick talking about Washington. But obviously, inflow of cash into the economy always has benefit across all of our customer bases. And what we're watching for is it going to cause inflation or not, and if it does cause inflation, interest rates go up; we'll have some benefit on all the cash that we hold that's not ours, but we're interest off of it. We continue to watch the regulation coming out of there. And there's not any huge nuggets coming out yet for us.
Barry Sine: Okay. Thank you, gentlemen.
Operator: Our next question will come from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Good morning, everyone. A couple of questions here. First of all, for Tom, the stock comp and the D&A numbers are those pretty good numbers to carry through for the rest of the year here?
Tom Jewell: Yes. They're a better reflection. Obviously, that's full-year the amortization associated with the output solutions acquisition. And we've been full-year now into the stock grants that we had in April 1st of last year. So, that's a pretty good number to start with.
Gary Prestopino: And then you also said that there will be modest growth in SG&A year-over-year, right?
Tom Jewell: Correct.
Gary Prestopino: Okay. So sequentially and year-over-year, we should be seeing growth in that other expense category?
Tom Jewell: Yes, there's -- I mean there's going to be a little bit of fluctuations. I mean there's a lot of moving parts within that. But generally, I would say that there will be somewhat modest growth in SG&A.
Gary Prestopino: Okay, and then, Louis, could -- I know, we talked about this, but I just want to make sure I'm clear on this, the decline in the gross margin, is that entirely attributable to output solutions? Because the ACH grew pretty dramatically and that's your most your highest profitable business. So, is that all due to Output Solutions?
Louis Hoch: It was primarily them. Output Solutions is going to average 15% and they had a great quarter. So, they folded down a little bit. But also, if you're comparing it to Q4 of 2020, the margins grew because Output Solutions because they had all these one time jobs at the end of the year, which are higher margin jobs, and they have on the reoccurring business. So, yes, primarily that. It's also the growth in Card business that occurred in PayFac.
Gary Prestopino: Yes, because you booked out on gross, right?
Louis Hoch: Yes. And then ACH business maintained its margins of 60% plus during the quarter. So, we're really excited.
Gary Prestopino: Okay. So, when I look at the ACH business, you're bucketed in e-dollar, e-check dollars processed, e-check transaction volumes, where is the Voyager business in there? Is that in the dollars processed?
Louis Hoch: So, Voyager contributes in both buckets, transactions and dollars. And if you're looking at the transactions grew 37% quarter-over-quarter and revenue grew 38%, quarter-over-quarter. So, that's kind of the metric.
Gary Prestopino: Okay. And then here's a question for Greg, could you give us the number of ISVs you're working with and how that has changed sequentially or and/or year-over-year?
Greg Carter: I can get that number for you. I don't have it in front of me, as far as you know, an updated number, but I'll certainly provide that to you.
Gary Prestopino: Yes, and the other thing is, it'd be really great to be able to have some kind of metric surrounding the merchants as well, if you feel that you can give that out publicly?
Greg Carter: Okay, I'll discuss that internally and get back to you.
Gary Prestopino: All right. So, then then lastly, as we go forward here and your processing volumes are obviously up gigantically. We should expect leverage flowing down through the bottom-line here going forward?
Greg Carter: Yes.
Gary Prestopino: Okay. So, we're still -- the last time you gave some kind of adjusted EBITDA number you said -- I believe you said at least $1 million. So, you're still good there?
Greg Carter: Yes, definitely.
Gary Prestopino: Okay. All right. Thank you very much.
Greg Carter: Thanks Gary.
Louis Hoch: Thanks Gary.
Operator: Our next question will come from Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks. I want to follow-up on that question. It's my only question. Very solid volume growth, very solid organic growth, but EBITDA has only increased $400,000 on $6 million more revenue year-over-year. So, my only question was the margins and payment processing are what they are for Cards it's been. So, economies of scale are so important and so we've seen rolling up volume and merchants to M&A is a common way these smaller players in the industry have built scale. So, it's a relatively balanced -- stable balance sheet. You now have modest profit; you've got a higher stock price. Is your appetite for acquisitions increasing? And should we expect to see you get more aggressive on this front? Thank you.
Louis Hoch: So, we're not going to just acquire to acquire. We don't have this big roll up strategy like some people do in industry. But we are looking at strategic acquisitions where we can see synergies beyond just adding volume. We're going to board a lot of value just from our internal sales efforts and from contracts. And quite frankly, we've already signed. So, yes, we're always looking at properties. We're in discussions, high levels, and -- but we're not just going to roll up to roll up.
Brian Kinstlinger: Okay. Thank you.
Operator: [Operator Instructions] Our next question will come from Jon Hickman with Ladenburg. Please go ahead.
Jon Hickman: Hi. Congratulations, guys. This is a pretty impressive quarter. I'd like to go over a comment you made, Louis, about the current processing volumes for this year, you said that you'd done $1.7 billion as of the midpoint of Q2 and that's in comparison to $1.9 billion for all of last -- all of Q1, is that what you said? Did I get that right?
Louis Hoch: Actually, I said $1.4 billion as of yesterday. And it's 75% of the $1.9 billion. So, yes, we're very well-positioned for Q2 to be very nice gains over Q1. Just like Q1 was huge gains over Q4, and Q2 is definitely exciting for us. We're already seeing.
Jon Hickman: Okay. Okay, thanks for that. And then could you -- I'm sorry, I was wondering if you could clarify for me the number of shares that are currently outstanding? I thought it was a $25 million -- or 25 million share range?
Tom Jewell: That's correct. Are you looking at the earnings per share calculation?
Jon Hickman: Yes, you used 19 or something?
Tom Jewell: Right. So that excludes all of the long-term grants. We've granted those shares and they're not actually used in the earnings per share calculation.
Jon Hickman: Okay.
Tom Jewell: [Indiscernible].
Jon Hickman: I'm sorry, what?
Tom Jewell: Would you like me to send you those shares that have been granted that are not outstanding at this point?
Jon Hickman: No, I think you did -- I think I have that back in my notes somewhere. And then just one more question. So, as you on this -- on the PayFac business, I'd just like to clarify one statement. So, the 47% that you just stated that's -- if you take all your ISP customers, you penetrated 47% of their subscribers.
Louis Hoch: No, that's -- to clarify that those that have boarded onto the platform, so that doesn't assume that that's 100% of an ISV subscriber base, but of those that have boarded, or entered into the boarding platform 47% are processing?
Jon Hickman: So, some people have entered into the boarding process, but never really completed the whole.
Louis Hoch: That's correct. That's correct. They're not processing or they're in various stages to begin processing, but that not does not reflect the entire subscriber base of that ISV.
Jon Hickman: Okay. Do you have any number -- idea of what that number might be? Like 10% of something?
Louis Hoch: I would be guessing. I'll be making a note to get more metrics around that, but I would be guessing on if I gave you an answer on this call.
Jon Hickman: But that would be -- but that's where the leverage is going to come from as you -- I mean, once you sign up an ISV, it doesn't really cost you anything to get those subscribers on boarded and processing, right?
Louis Hoch: Well, there's a small incremental fee that we incur when we board a merchant, but the model itself is leveraged in the sense that the ISV is working with us to provide that merchant information to board onto our system.
Jon Hickman: So, and you're still sharing revenues with the -- with the ISP, right?
Louis Hoch: Correct.
Jon Hickman: Okay. Okay. Thank you. That's it for me and congrats again.
Louis Hoch: Thank you, Jon.
Tom Jewell: Thank you, Jon.
Operator: Our next question is a follow up from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Yes, this is for Greg. I don't know, again, if this is something you want to talk about, but of the credit card revenue, can you give us a percentage, range or amount that is actually coming from PayFac versus the legacy business? And also I'd like to know is I think you may have mentioned it is the legacy business growing and -- the growth differentials between the PayFac and the legacy?
Greg Carter: Sure. So, the legacy portfolio grew 6% quarter-over-quarter 2021 versus 2020. And PayFac in the first quarter represents just under 30% of our entire credit card revenue number.
Gary Prestopino: It was something much, much smaller last year, right, because it had just been introduced, right?
Greg Carter: Correct. It was around 20% of the number at that point.
Gary Prestopino: Okay, great. That's very helpful. Thank you so much.
Greg Carter: Thanks.
Operator: This concludes our question-and-answer session. I would like turn the conference back over to management for any closing remarks.
Louis Hoch: Thanks everybody for joining call and we look forward to talking to you next quarter. This concludes our call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.